Operator: Welcome to the Q3 2010 Autodesk, Inc. Earnings Conference Call. (Operator Instructions). I'd now like to turn the conference over to your host for today's call, Mr. Dave Gennarelli, Director of Investor Relations.
Dave Gennarelli: We apologize for the delay, we had some trouble getting our 8-K filed, but thank you for joining us today to discuss our third quarter fiscal 2010. Carl Bass, our Chief Executive Officer, is dialed in from Beijing, China. Here with me today in San Rafael is Mark Hawkins, our CFO. Today's conference call is being broadcast live via webcast, and in addition a replay of the call will be available at autodesk.com/investor. As noted in our press release we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of the extended former comments and we'll not repeat them on this call. During the course of this conference call we will make forward-looking statements regarding future events and the future performance of the company, such as our guidance for the fourth quarter fiscal 2010, anticipated pre-tax spend for fiscal 2010, remarks about fiscal 2011, the factors we use to estimate our guidance, our future business prospects and financial results, our market opportunities and strategies and trends for our products and trends in various geographies. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. Please refer to documents we file from time-to-time with the SEC, specifically our Form 10-K for fiscal 2009, our Form 10-Q for first and second quarters of fiscal 2010 and our periodic 8-K filings, including the 8-K filed with today's press release and prepared remarks. These documents contain and identify important risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented during the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. During the call we will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of GAAP and non-GAAP results is provided in today's press release, prepared remarks and on our website. Now, I would like to turn the call over to Carl Bass.
Carl Bass: Consistent with the format we adopted a couple of quarters ago, I'll give a quick overview and then we'll jump right into Q&A. Over the past three months, global economic data has shown some improvement. Recent government data indicated that the US is no longer in the recession and last week it was reported that many European countries are no longer in recession. I think in some ways our increasingly stable results are of a reflection of this data. While it's encouraging to see more positive economic indicators, we'd also like to see more positive data on jobs. Economies may be recovering in terms of GDP, but jobs are still being lost and that is a key component to Autodesk recovery. Revenue was $417 million. While essentially flat with the second quarter, we were pleased to see it stabilize after four quarters of sequential declines. Highlights in the third quarter included sequential revenue growth in both the Americas and EMEA, commercial new licenses, 2D horizontal, government sales and 3D animation. We also delivered a solid sequential increase in profitability. This was achieved by reducing our operating expenses again as we realized the full benefit of the restructuring activity we implemented earlier this year and our focus on efficiency and cost controls. Our cost control efforts this year have yielded better than expected results and we believe that we will exceed our prior cost savings projection. We now expect to reduce our pre-tax spend in fiscal 2010 by more than $300 million as compared to fiscal 2009. These savings will be achieved this quarter despite a seasonal sequential increase in fourth quarter expenses. Of course, we will continue to look for ways to increase our efficiencies and profitability, while making essential investments for the future. With the excellent progress we have made on reducing our cost structure and the increasingly stable business environment, we are now shifting gears to rekindle revenue growth in addition to continuing to look for ways to increase our efficiencies and profitability. Our revenue forecast for the fourth quarter calls for a sequential revenue increase of between 1% and 6%, which is modest, but another step towards recovery. We will look to build on these steps as we finalize our plan over the coming months for fiscal 2011. Last week I gathered our top leaders from around the globe to strategize on how we can effectively grow revenue as well as to generate innovative ideas to strengthen the business longer term. While we were not ready to overlay these ideas in our current forecast, we were excited about the potential they represent. Everyone who attended this meeting left with the spirit of optimism regarding our long-term growth prospects. We have an unmatched product portfolio of design, engineering and entertainment software solutions, and with over $1 billion in cash and no debt, we remain very confident in both our financial and our market positions. Operator, we'd now like to open up the call for questions.
Operator: (Operator Instructions). We have a question from the line of Mike Olson, Piper Jaffray.
Mike Olson - Piper Jaffray: You talked about sequential growth in 2D in the script. What do you attribute the growth in new seats of 2D AutoCAD and Lt 2?
Carl Bass: I mean, a couple of things are going on. I think one thing is that the compares are low. We're operating off of low levels coming out of the trough, it is one arithmetic fact. I think the second is while the US and a few other countries are still struggling in terms of jobs, there are other economies that are starting to see rebounds.
Mike Olson - Piper Jaffray: The second question, in an improving environment, will the channel expect increasing levels of marketing dollars from Autodesk and how will you weigh the balance next year if we're seeing revenue growth on a year-over-year basis?
Carl Bass: We will continue to invest marketing dollars to help generate demand. The marketing dollars that go directly to the channel partners are formulaic. So there's an algorithm based on the sales and stuff in terms of the marketing development funds that they'll get.
Operator: We have a question from the line of Heather Bellini, ISI.
Heather Bellini - ISI: I just had a question really about your comments about operating expenses in fiscal year '11 and I don't think you commented on this in your prepared remarks. Sorry, I've been going back and forth with another call. I was just wondering when back on the July call you talked about $60 million of costs that were suppressed this year that would come back next year, but to get to the operating margins that you are talking about next year either our revenues are way off or expenses are really going to ramp more than the $60 million you guys talked about. I was just wondering if you could help us think about our models for next year.
Mark Hawkins: A couple things here. One is that we talked about also in the prepared remarks that our operating expenses would be now in excess of $300 million reduction year-on-year on a non-GAAP basis when you look at the exit of fiscal '10 compared to fiscal '09. That's the news that we reported thus far. We've also talked about the fact that about 20% of those costs as reflected in FY '10 are what we call cost suppression and we're also making the point that only a fraction of that will come back in FY '11, so we're just trying to size and frame this to a degree. So that's one part of the equation to consider. The other part of the equation to consider is the normal seasonality for Q1. There's a seasonality of Q1 plus some fraction of a return of operating expenses, and therefore, always try to give you some early view of what could be in Q1. Again, we're not giving formal targets at this point. We're just trying to begin to share our thinking. There will be a time when we come to the formal targets for Q1.
Heather Bellini - ISI: That makes perfect sense. Normal seasonality seems to be what the Street is looking for. If I look back, ex April of '09, you guys have been flat, plus or minus a few points sequentially, which is where the Street is. Yet to get to the margin to be below, it looks like you have to add about $25 million in operating expenses back, and then to get to the target where you say modest fiscal '11 operating margin expansion just implies that you are going to put back more than the $60 million in costs you've suppressed unless we're mis-modeling revenue going out and it's going to be potentially worse than normal seasonality. That's what I'm trying to get at. Those are the calls I'm getting right now and the emails I'm seeing in my inbox.
Mark Hawkins: We're not prepared to talk about the entire fiscal year '11, if you will. What we're trying to do is just give you a sense of a few things that we think are important for you to look at, but we're certainly not prepared to have a revenue discussion at this point. What I think is clear is there's a fraction of the 20% of the $300 million plus that we saved in FY '10 that will come back, a fraction of that will come back in FY '11. That's a statement that's out there and we're also saying that our operating margin we think will improve year-on-year even with some of that return of suppression. So that's the case there. So it could be 200 to 300 basis points of operating margin improvement year-on-year in FY '11. Again, this is not targets, this is not guidance, this is early days, but we're trying to give you a sense of direction and things to think about. I hope that helps.
Operator: We have a question from Brendan Barnicle, Pacific Crest Securities.
Brendan Barnicle - Pacific Crest Securities: Just to follow-up on that, in terms of revenue seasonality which Heather was alluding to, is the environment stabilized enough where we would expect to see typical seasonality or are we still sort of off cycle there?
Mark Hawkins: The way I am thinking about this revenue is basically the following is that we first talk about the importance of stabilization and what you're hearing today is this notion of stabilization. Over time, you would expect in any kind of recovery that that will gradually transition into some modest growth and eventually more towards the kind of growth rate you would expect in this marketplace post-economic reset. Where we're at right now is we're not prepared to get too deep into the revenue topic at this stage, but we are trying to give you a general sense of a couple important indicators we think you'll want to think about at the beginning of the year.
Brendan Barnicle - Pacific Crest Securities: Maybe I can follow-up then on the subscription revenue because we saw that decline sequentially for the first time. We expected that given what's going on with billings. If I have it right, we also saw a 10% decline in billings in the third quarter. That's better than 11% decline in the second quarter and 14% in the first quarter. So do we now expect that we'll see this decline or should model it through the next three quarters as this rounds the bottom and then starts to head back up and has like a one year lag behind it?
Mark Hawkins: I don't know that I would go that far, to be honest with you. What I would say to you is you certainly got a good read on it though I think with billings down minus 10%. Billings over time drive subscription revenues over 12-month ratable period for the majority of it. So I think you got the right angle there. I think there is couple of opportunities for us to change the shape of the subscription revenue. One is renewal rate increases is an opportunity to change that vector and that shape over time would be certainly one thing to think about there, and also new seat licenses, which we saw a sign that we liked, which was a sequential increase quarter-on-quarter this quarter. That we thought was an important indicator. So I think you got it right. The way you are thinking about, understanding the fact that billings are down and it's going to lead to subscription revenue being down with the other proviso that obviously there are things we are trying to impact to change that over time.
Brendan Barnicle - Pacific Crest Securities: If I could just ask one last question about changing that over time and I understand we'll have new pricing that goes into effect next March. I started to hear about that for the first time substantially this past quarter. Did you see that change start to impact or improve renewal rates at all?
Mark Hawkins: I don't know that I would say that at this stage. I couldn't make that point at this stage. I think it's too early.
Operator: We have a question from the line of Brent Thill, UBS.
Brent Thill - UBS: If you look at some of your peers that have taken some pretty significant action and when you benchmark yourself against other peers in the software industry, it seems like you are running still at a pretty high rate in terms of your fixed costs relative to what you are producing. So are you comfortable now with the current headcount where you are at or do you anticipate you need to make additional changes to realign to the lower demand that you are seeing?
Carl Bass: First of all, I would say we've always told you that headcount is really not a good indicator. I think the place to look is more at the operating expenses itself. So just to calibrate you, I would stick on the expenses themselves. As I said on the last call and I'd say the same thing again, if demand doesn't pick up during this year we obviously have too much expense in there, but if the news coming out of all the different countries and the change we're seeing in our business materializes, I think we're in the spot to deliver increasing profitability and good revenue growth.
Brent Thill - UBS: Carl, if you could just contrast the Americas versus Europe and any common trends that you are seeing across both geographies that would be great.
Carl Bass: I think what's happening is Europe, I think we were certainly afraid. Certainly the last time we all talked, we were much more afraid that Europe was headed into the [griper] and was looking like it was headed down in the same way that the US had gone and possibly was going to be down for so long. I think none of the economic news out of there really supports that. Germany and France have managed to do well. Our business is uneven across Europe, but much better than we would have expected. I'd say the Americas is stabilized. It's relatively flat. Like we said in the prepared remarks, I think we still need to see some job growth and I think we need to see a loosening of credit, especially for the small and medium companies. I think we're at a point where the large companies certainly have access to credit, small and medium business I still think are capital-constrained. I'd add one thing, there's no sign of a recession in China.
Operator: We have a question from the line of Steve Ashley, Robert W. Baird.
Steve Ashley - Robert W. Baird: I just want to talk about that revenue seasonality in Q1. I guess when we look back over the last several years the sequential trend in revenue has been flattish during normal times. Last year it was under normal time. Is that what you are inferring that we would go back to normal times and we would see normal flattish revenue seasonality in Q1?
Carl Bass: I think if there are two big effects, there's the normal seasonality and there's the economic recovery, I would say that the economic recovery is probably a stronger force where we would expect to see flatter revenue in the beginning of the year and a pick up towards the second half of the year. I think it would break the trend somewhat of traditional seasonality.
Steve Ashley - Robert W. Baird: In terms of deferred maintenance revenue, it has been trending down here. When might you expect that to level off?
Mark Hawkins: In terms of the maintenance revenue, I think the key thing obviously is to really understand the billings and how the billings are going to be changing over time because the billings are a precursor to that. So we're not giving necessarily forward-looking guidance on the subs revenue at this stage, but I think as I was trying to cover before the billings will be a precursor. Largely it's ratable over 12 months, but not 100%. The other factors are will our renewal rate go up and we are pleased to see that stabilize as well by the way. That was an important indicator in addition to the fact that new licenses went up sequentially. So those two factors could impact ones projection of subs revenue in addition to the billing indicator. Those are the three things that we're looking at as we model it. We're not at a stage where we want to give forward-looking guidance on that.
Operator: We have a question from the line of Keith Weiss, Morgan Stanley.
Keith Weiss - Morgan Stanley: Sorry to beat a dead horse here a little bit, but when you look at the guidance, if we look at the midpoint of guidance for your fourth quarter, both on the revenue side and the EPS side, it seems to imply a pretty nice ramp in total expense. If I take the midpoint of both of those and sort of like work backwards I'm getting to expenses somewhere around the $360 million range. Does that sound right to you? What would those ramp in expenses be due to and is that something that we should expect to sort of continue to grow sequentially like we've seen in prior years into Q1? Is that the kind of seasonality you are talking about that's going to lead to flat year-on-year operating margins?
Carl Bass: What we often see is seasonal increase in expenses in the fourth quarter that's tied to things like sales commissions. If you look back historically, you'll see last year, of course, we'll be a little bit off, but if you go back years before that you could see that. We usually see a little ramp up there. The confusion is what we see in Q4 and Q1 are often different things. When we get to Q1 in normal times, we see ramp ups from salary increases as well as some other compensation payments. One set of payments goes down and the other goes up and that's what you usually see from Q4 to Q1.
Keith Weiss - Morgan Stanley: Is that what's in that guidance for the call, flattish operating margins into Q1 2010, those salary increases and the like starting to ramp back in?
Mark Hawkins: We do some localization and (inaudible) that seasonally kicks in Q4 every year. Those are things that are there. There are even smaller things not to get too precise. For example, certain people cap out with FICA and things like that and there's matching expenses that can show up even in different times after the beginning of a New Year and such in terms of the calendar year. There are a lot of little bits and pieces that contribute to the seasonality that we've seen historically from that standpoint. So that's just to cap off on your question regarding Q4.
Carl Bass: The only thing I was going to say is we gave you guidance for this year about taking up $300 million. We talked about $60 million coming back. I think you can do the math from there about our thoughts for next year.
Operator: We have a question from the line of Heather Bellini, ISI.
Heather Bellini - ISI: I just had a follow-up in terms of how should we think about the customers that have deployed in a server-based model that might be on multiyear contracts with you guys? How do we think about the headwind for top-line growth and how long do you think it is before you get to your normalized comps where we've worked through some of that?
Carl Bass: I would say for the most part, most of our sales are by the seat. If anything, I think there's been some chatter about unused licenses. If anything, I see a pent-up demand for licenses, but it really is tied directly to the number of people sitting there, doing design, engineering work. I don't see much of a headwind in terms of absorbing what's out there already. Many people have adjusted their licenses. You can see it in terms of the subscription revenue. I think for the most part it moves along with employment numbers in the various firms.
Operator: We have a question from the line Ross MacMillan from Jefferies.
Ross MacMillan - Jefferies: Mark, just going back on the costs, I'm curious as you think about next year aside from a part of the $60 million that's going to roll back, is part of what we're missing that you have other expenses that you plan to put back into the P&L, whether that be lead generation, marketing spend, things to stimulate demand, or is it really just that all we should think about is part of that $60 million rolling back into the income statement?
Mark Hawkins: Certainly an important part as you think about Q1 is the fact that a fraction of that $60 million rolling back the cost suppression is coming back. Again, we control that and we reinforced how much we will control to come back, but that's certainly a factor. Beyond that, in terms of any other OpEx that we may make investments on, of course, we'll continue to make selective investments to drive growth for the year and for the long term. Very select ones.
Operator: We have a question from the line of Greg Dunham, Deutsche Bank.
Greg Dunham - Deutsche Bank: I wanted to follow-up on the maintenance opportunity in terms of improving renewal rates. Can you give us a sense of where are we in terms of the magnitude below the normal renewal rates we are at?
Mark Hawkins: Just to be clear, in terms of your question on maintenance, you're trying to get at a sense of the magnitude. Frame that just a little bit better for me.
Greg Dunham - Deutsche Bank: Obviously, renewal rates have stabilized, but my sense would be that they are stable at a much lower level than they are typically at. I just want to get a sense of where your renewal rates are now versus where they can go and how that can affect the maintenance business billings going forward.
Mark Hawkins: It's fair that the renewal rate is lower. We don't describe or disclose the exact renewal rates and that's been a historical point of order, if you will, but you are absolutely right. The renewal rates are lower and we see some opportunity to take those up. It's not like they are massively lower, but they are lower and an additional uptick on that has significant good implications if we can drive that higher.
Carl Bass: The way to look at the subscription revenue is the function of two things. It is the attach and renewal rate, but the attach rate is really highly dependent on the volume of new licenses. That's been the biggest driver of the reduction. The secondary effect is people reducing their renewals. The renewals for the most part are tied to reduced headcount employed rather than a change in their perception in the value of the subscription program. For example, if they have 10 seats on subscription and they now only have seven employees, many firms are just making the choice to just renew seven of them.
Operator: We have a question from the line of Jay Vleeschhouwer with Ticonderoga Securities.
Jay Vleeschhouwer - Ticonderoga Securities: During the call you've made pretty clear that you have outperformed on reducing your expenses and you said as well however that you are now shifting gears towards rekindling growth. Apart from the cyclical effect, I'd like to ask about the commitment you have for your expectations of the various new and incremental initiatives you've spoken of in this past year, for instance, expanding the line of preconfigured suites, design, on-demand, simulation, Autodesk products on the Mac, so on and so fourth. So, to what extent did the cost cuts affect any or all of those newer initiatives and how committed are you to following through on all of those for incremental growth?
Carl Bass: What I'd say is a number of things you talked about, things like suites, doing things like web-based services, all those initiatives we are able to continue, some of them we had a slowdown, but funding for all of them will not be incremental. We're doing it out of our existing cost bases. So we've redeployed resources to make sure that happens. So we've moved people from these projects to other projects in order to make sure that we can see those things through. What I'd say is really the focus was, in order to get the $300 million out of expense out, took a fair amount of just the bandwidth of the management team, it was a big initiative. Now the focus is turned to the other thing, turned to the other initiatives, but I wouldn't infer from that that there's more money coming behind that. It's really out of existing spend.
Jay Vleeschhouwer - Ticonderoga Securities: Just to be clear, everything you've previously talked about will occur at some point or be expanded beyond what we've seen so far?
Carl Bass: Yes. You'll see suites, you'll see on-demand applications, you'll see new applications on the Mac, all that will happen this year.
Operator: We have a question from the line of Dan Cummings, Soleil Group.
Dan Cummings - Soleil Group: I wanted to try to get to, in real simple terms, the difference between Autodesk today as a $1.7 billion company and what you were a few years ago as a $1.7 billion company. I mean, the disparity in margins is really striking. I'm asking really with respect to the guidance, are you giving us worst case, worst case with respect to revenue and cost such that you're probably talking about a very high incremental margin relative to this guidance once you do see growth?
Carl Bass: In the simplest terms, the difference is this 1.7 is a smaller 1.7. Not to be too facetious about it, I think the difference is, this is 1.7 where the direction was heading down and the other was 1.7 where the direction was heading up. What you would see, as we've always said, is we can return to mid 20s to 30% operating margin at almost any revenue level. What we've done is we've made a decision that we think this is the appropriate level of expenses right now. As revenues grow as we've seen in the past, a large amount of that ends up dropping to the bottom-line. So I think you would see the same thing as you see economies recover. As our business picks up, you'll see a large incremental amount drop to the bottom-line.
Mark Hawkins: I agree. I think the issue is just trying to take a measured approach here from that standpoint of how to (inaudible) basically to take the margin back to where we want it and yet lay the groundwork for the franchise and opportunity we have over the long term with this company, which is a really exciting long-term opportunity. We're just trying to be very thoughtful and measured in terms of how we take this thing forward.
Carl Bass: The only thing I would add is that I think we can do some stupid things right now. I think we could cut expenses to the point where we are unable to really participate to the upside that comes with the recovery. We try to get ahead of the downturn by making cuts early, but I think we also want to be deliberate in our attempts here to make sure that we have the appropriate structure in place, the appropriate resources as we go forward to make sure that we can really take advantage of this. One of the things that we've seen in the downturn is the ability to displace many of our competitors. So, right now while the displacements we're seeing are relatively small, these are laying the groundwork for much future displacements, much larger displacements with much greater revenue potential. We're very excited about the market position we have and we don't want to miss out on that when the recovery comes.
Operator: We have a question from the line of [Steve Koning], Longbow Research.
Steve Koning - Longbow Research: Looks like the AEC segment did better sequentially than manufacturing this quarter. Was that due to strength in government or other factors? I'm also just wondering what's your view now given what you are seeing on what segments could grow faster first in a recovery.
Carl Bass: I'd say, generally speaking, during the downturn we've seen manufacturing holdup better than AEC. One of the things that we've seen episodically through the downturn is some very large sized deals from the largest AEC firms. A lot of it is coming from consolidation around one vendor where they've had a heterogeneous multi-CAD environment and now have decided to go with a single vendor. The downturn has created a fair amount of M&A activity, so there's a fair amount of consolidation amongst our customers, and in many cases we're being the beneficiary as they bring those companies together and they're trying to standardize again on one CAD platform. I think what we've seen in manufacturing has been slightly different. As I talked about and when I was talking about the competitive swap-outs, we've been winning many smaller deals in manufacturing and that's buoyed us through the downturn, but we haven't seen the large deals yet that we expect to see when we come out of this.
Steve Koning - Longbow Research: The sequential decline in manufacturing being a little bigger that was perhaps an anomaly this quarter.
Carl Bass: I wouldn't read much into it as a one quarter thing yet.
Mark Hawkins: I agree. One thing I would add is that we have talked about our government, in general, the government business is up, you had alluded to that, it is up sequentially and even year-on-year albeit not a huge segment and it's something to address as well.
Carl Bass: One of the things that is interesting that we've seen this time is we're seeing some of these larger deals, we're seeing some good business in the government, much better than we've historically seen. It's really hard to trace a lot of benefit to stimulus dollars, particularly in the United States. Other parts of the world you can see it, but not in the United States.
Operator: We have a question from the line of Sterling Auty, JPMorgan.
Sterling Auty - JPMorgan: Sorry to be nitpicky, but Mark in answering one of the very first questions, I think it was off the cuff, but you actually said you're looking for modest margin improvement for 2011 and then made the comment 200 to 300 basis points. I would consider that more than modest. Is that really in the range of what you consider modest?
Mark Hawkins: If you look at where we've been, I think that's the way we would couch it and that's a comment that we're putting out there. Again, I'm telling you these are not targets, but we're trying to give you a sense of our thinking and that is our thinking.
Carl Bass: I think we're appropriately aware of the fact that it doesn't get us to the same place and we don't think it's appropriate to try to do that in one fell swoop, and so this measured and balanced approach to making sure that we continue to improve operating margins, while making sure we have enough investment in order to continue to grow revenue.
Operator: The last question will come from the line of Sasa Zorovic, Janney Montgomery.
Sasa Zorovic - Janney Montgomery: Specifically, you referred to (inaudible) and you did buy some stock back during the quarter. Going into the stabilization and potential growth ahead, would you then assume that cash is even more deployed in buying stock back more aggressively or would it be more for making acquisitions, because in an improving environment that much cash is arguably not going to be needed on the balance sheet.
Carl Bass: It was really hard to understand you, but I'll do my best to try to interpret what I think your question was. We continue to have a program where we will offset dilution from employee stock programs. We'll continue to do that. The other thing I would remind everyone again is that a large majority of our cash is offshore, and so I don't see any big changes in our capital program, I don't see any big changes in our stock buyback program. Right now, we had made a number of decisions about what to do with our cash heading into the downturn. I'm pleased with the decisions we made heading into the downturn and how we've been able to grow cash even through this downturn. And I think now is the time for us to reevaluate it and we're going to look at it, but that's really no hint of any necessary change in direction.
Mark Hawkins: I agree wholeheartedly. That's exactly where we're at here.
Sasa Zorovic - Janney Montgomery: What I wanted to ask was specifically regarding seeing the business stabilizing, specifically wanted to see if the quarter has indeed returned to the linearity that it used to have with one each week being a 13th of the quarter roughly, have you seen that within the October quarter?
Carl Bass: I don't think that it ever really was perfectly 13th, but we've always shown those charts, we'll show them to you again. I think the linearity is much more similar to how it has been in the past albeit at reduced levels. One of the things that we thought important was not to do anything unusual at the end of the quarters. It's a discipline we put into place probably four or five years ago and we want to maintain that discipline. So, given the nature of our business, we can influence the shape of that curve particularly at the end of the quarter. We've chosen not to do that. We will continue not to do that, and so I think you'll see linearity that's very similar.
Mark Hawkins: To reinforce Carl's point, in addition to that, even our weeks of inventory in the channel is down sequentially and is below three weeks. So it just reinforces Carl's point. It's a healthy sign.
Operator: This concludes the question-and-answer session of today's conference. I'd like to turn the call back to Mr. Dave Gennarelli for closing comments.
Dave Gennarelli: As a reminder, we will be at three conferences this quarter, the NASDAQ OMX Investor Program in London on December 1, the Credit Suisse Technology Conference in Phoenix on December 3 and the Barclays Capital Global Tech Conference in San Francisco on December 8. We're also hosting our Annual Users Event Autodesk University in Las Vegas December 1 to December 3. So, thanks for joining us today. If you have follow-up questions, you can reach me at 415-507-6733.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may disconnect and have a great day.